Operator: Good day and thank you for standing by. Welcome to Enerflex Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to hand the conference over to your speaker today Vice President of Corporate Development and Investor Relations, Jeff Fetterly. Please go ahead.
Jeff Fetterly: Thank you and good morning everyone. Welcome to our second quarter of 2024 earnings call. With me today are Marc Rossiter, President and CEO; Preet Dhindsa, SVP and CFO; Ben Park, Vice President and Corporate Controller. During today's call, we speak to our second quarter results, outlook for the remainder of 2024, and provide an update on our target leverage framework as well as our long-term strategic and capital allocation priorities. Before I turn it over to Marc, I'll remind everyone that today's discussion will include non-IFRS and other financial measures as well as forward looking statements regarding Enerflex's expectations for future performance and business prospects. Forward looking information involves risks and uncertainties and the stated expectations could differ materially from actual results or performance. For more information refer to the advisory statements within our news release, MD&A, and other regulatory filings all available on our website and under our SEDAR+ and EDGAR profiles. As part of our prepared remarks, we will be referring to slides in our investor presentation, which is available on our website under the Investor Relations section. I will now turn it over to Marc Rossiter, Enerflex's President and CEO.
Marc Rossiter: Thanks Jeff and thank you all for joining us on this morning's call. We are pleased to report another quarter of strong operational results that translated into a high watermark for adjusted EBITDA. These results reflect solid performance across our geographies and business lines as well as our ongoing efforts to optimize and streamline our business. The Energy Infrastructure and Aftermarket Services business lines continued to deliver steady performance, generating 62% of our gross margin before depreciation and amortization during the quarter. In our Engineered Systems business line, results reflect favorable product mix and stronger execution with visibility supported by a $1.3 billion backlog. I'll touch briefly on each of our business lines. Energy Infrastructure continues to perform well with results supported by approximately $1.6 billion of revenue under contract. Our U.S. contract compression fleet is an important part of our energy infrastructure asset base and the fundamentals for contract compression in the United States remained strong, led by increasing natural gas production in the Permian Basin. During the second quarter of 2024, our U.S. Contract Compression fleet continued to operate at high utilization levels, averaging 94% across approximately 428,000 horsepower. The business generated revenues of $37 million and gross margin before depreciation and amortization of 62% during the second quarter of 2024 compared to $33 million and 64% in the same period the prior year. Slide 11 of our investor presentation provides a summary of this business. Our International Energy Infrastructure business consists of approximately 1.5 million horsepower of compression, over 25 natural gas plants, and two produced water treatment facilities. The remaining contract tenor across our asset base is approximately 5.5 years and over 50% of this revenue for this business is generated in the Middle East. Slide 12 of our investor presentation provides a summary of this business. Turning to aftermarket services this business line benefited from increased activity levels and customer maintenance activities during the quarter, we expect these trends to continue throughout 2024. We recorded Engineered Systems bookings of $331 million in the quarter and maintained our backlog at $1.3 billion at the end of the quarter. The majority of the current backlog is expected to be converted to revenue over the next 12 months. Facility throughput remained steady and margins for this business line have been helped by favorable product mix and strong project execution. We continue to benefit from activity in oil-producing regions and with customers who maintain a positive medium-term view of natural gas fundamentals. Although, we are actively monitoring the near-term impact of weak natural gas prices on customer demand notably in North America. Turning to the modularized cryogenic natural gas processing facility in Kurdistan. During the second quarter Enerflex provided our client partner with notice of force majeure, suspended activity at the project sites and demobilized or personnel. Work at the site remains suspended and Enerflex continues to evaluate the situation in collaboration with our client partner and assesses next steps. As we look to the remainder of the year, we continue to focus on enhancing our financial flexibility and strengthening the balance sheet. We generated $72 million of free cash flow in the first half of the year, while limiting growth capital expenditures to $9 million. We expect full year 2024 capital spending to be at the low end of our $90 million to $110 million guidance range as we continue to prioritize generating free cash flow, repaying debt, improving the leverage ratio and lowering net financing costs. Before I turn the call over to Preet, I would like to thank the Enerflex team across our global operations for their efforts in delivering these results. The underlying macroeconomic drivers for our business are strong and with the ongoing focus on global energy security and the growing need for low-emissions natural gas our business lines continued to deliver solid performance. We are focused on enhancing the profitability of our core operations and Enerflex's ability to focus on growth and return capital to shareholders. With that I will turn it over to Preet to speak to the financial highlights of the quarter and provide an update on Enerflex's outlook for the balance of 2024.
Preet Dhindsa: Thanks Marc. Good morning, everyone. In the second quarter, we reported consolidated revenue of $614 million versus $579 million in Q2 2023 and $638 million in Q1 2024. Removing the impact in Q1 2024 for treated water solutions project being converted from operating lease to a finance lease, the second quarter represents an increase in revenue both sequentially and year-over-year. Gross margin before depreciation amortization was $173 million or 28% of revenue compared to $145 million or 25% of revenue in Q2 2023 and $119 million or 19% of revenue during Q1 2024. Adjusted EBITDA was $122 million compared to $107 million in Q2 2023 and $69 million during Q1 2024. Energy Infrastructure gross margin before G&A of $77 million was relatively consistent with recent quarters and reflective of the strong contract position that supports our assets. Aftermarket Services gross margin before D&A was 23% in the quarter benefiting from increased activity levels and strong customer maintenance programs. Enerflex's SG&A of $75 million was consistent on a year-over-year basis after normalizing the prior year quarter for a $10 million reversal of bad debt expense and declined sequentially due to lower share-based compensation. Foreign exchange losses and losses from associate instruments remained modest during Q2 2024 reflective of effective cash management strategies and lower cash balances in Argentina. Cash provided by operating activities was $12 million in Q2 2024, which included a working capital investment of $51 million. The billed and working capital during the second quarter was principally related to an $85 million net movement in deferred revenue and unbilled revenue. These changes are connected primarily to the execution of projects in our Engineered Systems backlog and relate to the timing difference that exists between when we receive milestone payments from client partners and recognize the cost and revenue associated with completing the projects. Enerflex emphasize that each project maintains a positive cash position during execution. So this can result of fluctuations in working capital. The past four quarters are a good example of this, as we received a net inflow of $107 million from deferred revenue and unbilled revenue during the second half of 2023, additional inflow of $59 million during the first quarter of 2024 and saw a net build of $85 million during the second quarter. In Q2 2024, the investment deferred revenue unbilled revenues partially offset by steady collections of accounts receivable and finance leases, which totaled $29 million. A detailed summary of net working capital movement for the three and six months of 2024 and 2023 is included in Note 9 of the financial statements. Look at the second half of 2024, we expect net working capital movement to be a modest source of cash for Enerflex. Free cash flow was used $6 million compared to a source of cash of $78 million in Q1 2024 and a use of cash of $20 million in the comparable quarter of 2023. The variability in free cash flow is directly connected to the change to net working capital I just described. We invested $10 million in the business during the second quarter including $1 million of gross CapEx and returned $3 million to shareholders through dividends. We exited the quarter with net debt of $763 million, which included $126 million of cash and available liquidity of $512 million. During Q2 2024, Enerflex extended the maturity date of our secured revolving credit facility by one year to October 13, 2026. Availability under the RCF was increased to $800 million from $700 million. And in conjunction with the extension, Enerflex repaid $120 million of outstanding amounts under our secured term loan using cash on hand and available under the expanded RCF. Enerflex is targeting a bank adjusted net debt to EBITDA ratio of 1.5 to two times over the medium-term. The leverage framework is underpinned by the highly utilized US contract compression fleet, contracted international EI product line and the recurring nature of our AMS business. Our leverage ratio was 2.2 times at the end of Q2 and we remain on track to reach our leverage framework. In terms of the outlook for the second half of the year, Enerflex continues to see consistent demand across all business lines and geographic regions including high utilization of EI assets and the AMS business line. Enerflex's EI product line is supported by customer contracts, which we expect to generate approximately $1.6 billion of revenue during the current remaining terms. We continue to expect the Energy Infrastructure and aftermarket services product lines will account for 55% to 65% of gross margin before D&A during 2024. Complementing Enerflex's recurring revenue businesses is ES product line. ES results will be supported by a strong backlog of approximately $1.3 billion in projects as at June 30, 2024 with the majority of this work expected to convert to revenue over the next 12 months. Enerflex continues to target disciplined capital program in 2024 with total capital expenditures of $90 million to $110 million. This includes a total of approximately $70 million for maintenance and PP&E capital expenditures. As Mark mentioned in his remarks, as a result of efforts to optimize capital spending Enerflex expects full year 2024 CapEx to be at the low end of the guidance range. Growth capital will be allocated only to customer supported opportunities that are expected to generate attractive returns and deliver value to Enerflex shareholders. Board of Directors has declared a quarterly dividend of CAD 0.025 per share payable October 2, 2024 to shareholders of record on August 22. Providing meaningful returns to shareholders a priority for Enerflex. Once the company is operating within our target leverage range, Enerflex expects to reevaluate capital allocation priorities which could include increased dividends, share repurchases, additional growth capital spending and or further debt repayments. Allocation decisions will be based on providing the most attractive shareholder returns measured against any flexibility to maintain balance sheet strength. I conclude by saying that with the support of Enerflex's strong global leadership team and talented employees we are improving the profitability and resiliency of our business with the objective to generate sustainable free cash flow. With that I'll turn the call back over to Mark for closing remarks.
Marc Rossiter: Thanks, Preet. We're encouraged by the strong operating performance as a global business. We are focused on ensuring the safety and security of our personnel while we work to further enhance the profitability of our core operations, simplify our operational and geographic footprints, maximize cash flow generation to strengthen our financial position, realize the benefits and synergies from the Exterran acquisition and continue to offer best in class natural gas treated water and energy transition solutions to our client partners. I look forward to building on our progress to create significant value and optionality across geographies customers and product lines. I will now hand the call back to the operator for questions.
Operator: Thank you. [Operator Instructions] one moment for our first question. And our first question comes from Aaron MacNeil from TD Cowen. Your line is now open.
Aaron MacNeil: Hey, morning. Thanks for taking my questions. Marc, I wanted to maybe better understand how you are thinking about booking activity. In your opinion, are bookings are a lagging indicator to the rig count or the commodity price. And if so, what do you think the lag time is and maybe if you don't think you are gaining market in that arena or is this all too new now that you sort of added the cryo business? The metrics
Marc Rossiter: Our Engineered Systems backlog traditionally lag the rig count both going up and going down by six to nine months. We were expecting and anticipating a slower Q2 on bookings because of that six to nine month lag. And we were pleasantly surprised at the bookings level in Q2, largely driven by liquids infrastructure not gas production. We've got a wide variety of products in that backlog from LPG export terminals to cryogenic gas processing to new fractionation plants to power generation solutions and also including relatively straightforward suppression opportunities. So maybe I'll ask Jeff to contribute a little bit about what we expect going forward as we looked at the overall North American macro.
Jeff Fetterly: As Marc said in his prepared remarks and we're obviously watching the weakness and the impact of lower gas prices very carefully. We've definitely seen that on the compression side of our business. But when it comes to the cryogenic side and some of the processing opportunities, we continue to see a good list of prospects there. And the bookings that we saw in Q2 as Marc said surprise to the upside relative to our expectations. But we continue to see a decent amount of opportunities through the second half of the year.
Aaron MacNeil: Okay. Maybe switching gears a bit like what we're your take aways from Archrock’s acquisition of total and like should we be thinking about operational read-throughs to your business in terms prevelence of electric horsepower or overall industry growth like a, sort of, open-ended question but curious to get your take on that one.
Marc Rossiter: Sure. And thanks for the question. The listeners all are familiar with it. One of our contemporaries in United States is called Archrock. They're a pure play contract compression company. They bought roughly 480,000 horsepower fleet that was private equity owned by Apollo, a couple of weeks ago I think for between US$900 million and US$1 billion. Our fleet's 430000 horsepower there is 480. Their fleet is 100% electric ours is about 15% electric. So it's not exactly comparable. I like the read through. I think that what our track bought that for shows that that asset class is as valuable as we think it is and that's why we've been directing a fair amount of capital to that business over the last five years. And we will continue to do so going forward as we get our leverage ratio comfortably within the 1.5 to 2.0 range. I think the reason that transaction happened it happened at a healthy but affordable multiple is really reinforcing several macro factors in the Contract Compression business that has made our particular margins better over the last couple of years. 80% of the US Contract Compression business is now represented by three publicly traded companies: Archrock, Kodiak and USA Compression. They've shown tremendous discipline and growth capital balancing it against shareholder returns. And as a result their revenue per horsepower per month has come up and their margins have come up and Enerflex our team has followed that trend and making sure that we're keeping up with those folks as far as the revenue goes. So we like that asset class a lot. We'll continue to invest in it as we get our leverage ratio within the 1.5x to 2x. And a lot of that is built on a pretty strongly held belief that Enerflex in the North American natural gas macro going out five, 10, 15 years at a minimum. So it was a great thing to see that transact. It reinforced our view of the value of that business and it reinforced the capital that we've been putting into it over the last number of years.
Aaron MacNeil: Thanks I'll turn it back.
Operator: Thank you. And our next question comes from Keith MacKey from RBC Capital Markets. Your line is now open.
Keith MacKey: Hey, good morning. Just I wanted to start on the CapEx. Appreciate that it's going to be at the lower end of the $90 million to $110 million range. Can you just talk about some of the specific factors that may be driving that? Is it due to lower market demand or you just being more judicious in how you deploy capital?
Preet Dhindsa: Hey Keith, it's Preet. So from a CapEx and with this maintenance growth CapEx, we're watching free cash flow very carefully and we're trying to temper as much of the maintenance CapEx and growth CapEx as we can to hit our leverage target to 1.5 to two times. It is the first year the two companies or the second of the two companies coming together. And just we're trying to refine maintenance CapEx required and the growth CapEx side, we are being very precise on where to deploy. So far $70 million maintenance, $90 million to $110 million all in coming at low end of the range, just a matter of precision of the maintenance CapEx and being very careful where to deploy growth CapEx this year.
Keith MacKey: Okay, makes sense. And do you have any more clarity you can give us on what you mean by medium-term for reaching your 1.5 to two times financial leverage target? Is that something that might happen this year and should investors be expecting a more fulsome announcement on capital allocation before the end of the year? Or is this more likely a 2025 event?
Preet Dhindsa: It's going to be difficult for us to pinpoint that right now, but just a couple of data points. It's important to know that, if we look at free cash flow year-to-date although this quarter was a little bit light but year to date $72 million of free cash flow. Expect a modest source of funds from working capital so the back half of the year from FDF perspective we expect to be quite constructive. We'll take that. And then our priorities are debt repayment as you can see. And then what medium-term this year to next hard to pinpoint exactly, but we are highly focused on that, getting to 1.5, two times as Marc noted. Before we speak to capital allocation levers post that we're going to be very careful to make sure we're at a comfortable spot within that range but clearly a priority and we are targeting that range in the near to medium-term.
Keith MacKey: Okay. That's all I got. Thanks so much.
Operator: And thank you. [Operator Instructions] And one moment for our next question. And our next question comes from Tim Monachello from ATB Capital Markets. Your line is now open.
Tim Monachello: Hey. Good morning, everyone. Just wanted to dive into margins a little bit and I really appreciate the additional disclosures that you provided on the segment and geographic basis. Margins came in pretty strong in the quarter across business lines. I'm wondering are we seeing the benefits of synergies across the business or is there something structural happening that's causing margins to improve? And then also as a follow-up, just on a segment and regional basis, some really strong margins in North America. I noticed energy infrastructure in Latin America was kind of lagging and I'm just wondering if across the portfolio if there's any areas where you see some optimization potential?
Jeff Fetterly: Tim, it's Jeff. I will touch on the margin component of your question. So I think you really need to look at it on cost line basis. Within Engineered Systems, the margin was definitely stronger than we've seen in recent quarters and we benefited from both mix and execution. And we've talked about the successes that we've seen on the cryogenic gas processing side. Those projects are typically higher margin relative to compression. And definitely make up a bigger component of our backlog. But with the weakness in gas prices, we have seen some pressure on margins tied to the compression side of the Engineered Systems business. So on a go-forward basis, it's not our expectation that we'll be able to sustain the 19% gross margin before D&A that we saw in Q2. In the past we've talked about mid-teens as being a more realistic run rate for us. And we haven't changed the view on that. Within the AMS side, the margins at about 23% before D&A, again were a little stronger than we were expecting. And we benefited from mix there, specifically tied to parts. And there will be some ebb and flow between the service side and the parts side on a quarterly basis. But again, I wouldn't expect to 23% to fully carry forward. But we are seeing some of the synergy aspects that you referenced playing out within the AMS business. In EI, the margin percentage does have some volatility. But what we're very focused on as Preet referenced in his remarks is the absolute dollars of margin that we're generating in that business and Q2 was very consistent with the trend that we've seen over recent quarters. And that's our expectation on a go forward basis as well. I'll turn it over to Marc, for the latter part of the question.
Marc Rossiter: Hey. Tim. We're happy to provide this enhanced disclosure around the regional product lines. I wouldn't look at a quarterly result of say a US fleet versus a Latin American fleet and draw long-term conclusions. We are keeping a close eye on the margin trends in all of our regions. We layer that on top of a lot of thinking around the macro-economic factors that will drive growth and our position in those markets that we can -- that we've gained through the acquisition put all that stuff together to decide where we deploy growth capital. And I think for the next little while our main focus on is just on keeping things extremely simple. Encouraging our operations teams to be the very best operators they can be and sort of going from there. We like our asset base. We're always encouraging our teams to improve margins as much as they can. And we'll keep managing through that.
Tim Monachello: Okay. Appreciate it. I mean, can you guys provide just an update on expectations for -- I guess, integration costs the remainder of the year and an update on the integration ERPs roll-out?
Preet Dhindsa: Tim what I would do is just take the first half integration costs that we've incurred down that run rate should suffice for the back half of the year. And as we've noted a couple of times earlier integrations done except for the system side which is the majority of the costs for the next two quarters. In 2025, we don't expect integration costs.
Tim Monachello: Okay. Appreciate it. I'll turn it back. Thank you.
Operator: And thank you. And I'm showing no further questions. I would now like to turn the call back over to Marc Rossiter, President and CEO for closing remarks.
Marc Rossiter: As there are no further questions, thank you for joining today's call. We look forward to providing you with our third quarter results in November. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.